Operator: Greetings, and welcome to the Diana Shipping Incorporated Second Quarter 2013 Conference Call and Webcast. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder this conference is being recorded. It is now my pleasure to introduce your host, Edward Nebb, IR Advisor for Diana Shipping Incorporated. Thank you, Mr. Nebb. You may begin.
Edward Nebb: Thank you, Jevin, and greetings to all of you who joined us today for the Diana Shipping Inc. second quarter 2013 conference call. The members of the company management team who are with us today are Mr. Simeon Palios, Chairman and Chief Executive Officer; Mr. Anastasios Margaronis, President; Mr. Andreas Michalopoulos, Chief Financial Officer; Mr. Ioannis Zafirakis, Executive Vice President and Secretary; and Ms. Maria Dede, Chief Accounting Officer. Before management begins their remarks, let me summarize the Safe Harbor notice. Certain statements made during this conference call, which are not statements of historical facts, are forward-looking statements under the Safe Harbor Provisions of the Private Securities Litigation Reform Act. The forward-looking statements are based on assumptions, expectations, projections and beliefs as to future events that may not prove to be accurate. For a description of the risks, uncertainties, and other factors that may cause future results to differ materially from the forward-looking statements, please refer to the company’s filings with the Securities and Exchange Commission. And now with that, let me turn the call over to Mr. Simeon Palios, Chairman and Chief Executive Officer of Diana Shipping.
Simeon P. Palios: Thank you, Ed. Good morning and thanks for joining us today. During the second quarter of 2013, Diana Shipping Inc. continued to strategically expand and diversify our fleet. At the same time, we further enhanced our financial capacity through new loan agreements that support our strategy of investing in growth, while maintaining a strong balance sheet. Among the highlights of our fleet expansion during the quarter. In May, we announced an agreement to purchase the motor vessel Shoyo, a 2006 built Panamax dry bulk carrier of 76,942 deadweight. The vessel, to be renamed Artemis, is expected to be delivered during September 2013. Also during May, we announced contracts for the construction of two Newcastlemax dry bulk carriers of approximately 208,500 tons deadweight each. The company expects to take delivery of these vessels during the second quarter of 2016. In June, we took deliver of the motor vessel Baltimore, a 2005 built Capesize dry bulk carrier. As previously announced, the Baltimore is time charter to RWE Supply & Trading GmbH, Essen, Germany at a gross charter rate of $15,000 per day minus a 5% commission paid to third parties for a period of minimum 36 months to maximum 42 months. Including the vessels currently expected for the new ready for another Diana Shipping’s fleet, which consists of 38 dry bulk carriers. It is an increasingly diverse fleet including Newcastlemax, Capesize, Post-Panamax, ice-class Panamax, Kamsarmax, and Panamax vessels. We continue to manage our fleet in a responsible manner that promotes a balance of time charter maturities, and produces a predictable revenue stream. Currently, our fixed revenue days are 97% for 2013. The majority of our vessels are chartered for periods ranging from 2014 through 2015 and beyond and we continue to maintain the relationships with high quality globally respective charters. We took several actions to expand the company’s financial resources as I noted earlier. We may re-sign a new term loan facility for up to $30 million with the Export-Import Bank of China to be used to partially finance the acquisition close of the 2 billion ice-class Panamax dry bulk carriers. In June, we obtained a term loan facility for up to $18 million with Deutsche Bank, drawing down the facility to partially finance the acquisition cost over to previously announced Kamsarmax dry bulk carriers. Following these financial transactions, Diana Shipping continues to maintain one of the strongest balance sheet in our industry. Our cash position at June 30, 2013 was approximately $375 million. We continue to operate with a very manageable degree of leverage. Long-term debt including current portion was $456.4 million, compared to stockholders’ equity of nearly $1.3 billion. Turning now to a summary of the financial results of Diana Shipping for the second quarter of 2013. Time charter revenues for the recent quarter totaled $40 million. The company reported the net loss for the 2013 second quarter of $5.2 million. In summary, Diana Shipping is continuing to improve the strategy that enhances the company’s financial flexibility in a volatile industry environment, while investing the assets that we generate long-term growth. We will continue our program of selectively and gradually adding to our fleet as market conditions permit as to acquire vessels at attractive prices. We will operate our fleet according to balanced and prudent chartering policies that promote a predictable revenue stream, and enable us to sustain profitable operations. And we will continue to manage our balance sheet to provide financial flexibility, provide the capacity to support growth and maintain and accept (inaudible) of contracts. With that I’ll now turn the call over to our President, Anastasios Margaronis for a perspective on these critical issues. He will then be followed by our Chief Financial Officer, Andreas Michalopoulos who will provide a financial overview, thank you.
Anastasios Margarnois: Thank you Simeon, and a warm welcome to all who have attended this conference call to listen to the financial developments of our company, and forecast for the bulk carrier shipping industry. The second quarter of this year has certainly brought some exciting developments in the freight rates of large bulk carriers. This will be analyzed in (inaudible) and establish a reason why they came about. And also the prospect at which Diana could signal a long-term improvement in the earnings of large bulk carriers. The Baltic Dry Index started the second quarter of this year at 896 points, and closed yesterday at 1,075. The Baltic Panamax Index stood at 1,165 on April 2 and closed yesterday at 1,090. The Baltic Cape Index started the quarter at 1,229 and closed yesterday 1,860. Let us now look at supporting quarter macroeconomic factors affecting the bulk carrier shipping industry. According the World Bank, the world GDP growth is expected to reach 2.3% in 2013 increasing to 3% in 2014. The World Bank has captured 2013 economic growth profile for China to 7.7% down from its previous projection of 8.4%. The slowdown in China’s fee export markets in Europe and United States for factors as the main drag on growth. The Bank also warns that growth in the emerging economies of Brazil and India have slowed with any short-term pickup likely to model. According to Clarkson Capital Markets, China’s HSBC TMI index hit a nine-month low of 49.6 in May, signaling a contraction in the Chinese manufacturing sector. According to Maersk Broker, manufacturing weakness had the effect, the Chinese government is willing to go in sacrificing short-term expansion for a more sustainable long-term growth. According to Stanley’s research during the last quarter ended March 2013, Indian GDP grew by 4.8% year-on-year only slightly above the growth rate recorded during the previous quarter. The Indian economy is expected to increase back to 5% and 6% this calendar year, and next. The European Central Bank has also adjusted downwards its economic growth forecast for the Eurozone. It’s projecting a GDP contraction of $0.06 in full year 2013. However, Maersk Broker Reports are encouraging the Eurozone. More specifically, sentiments among European manufacturers increased to minus 11.2 from minus 13. At the same time consumer confidence gained to minus 18.8 from minus 21.9. Finally, the index of executive and consumer sentiment climbed to 91.3 from 89.5 in May. We have to wait and see, this is just the beginning of the favorable trend in Eurozone. Let’s look at the freight rate per fleet. Freight rates were strong during last quarter, strong gains. According to Howe Robinson, this could be applied to the following factors. The net (inaudible) per fleet growth has run at just 2.6% relative to the end of 2012. Secondly, increased ore consumption in China and long load for delays for VLOCs in Brazil. Thirdly, vessel supply and further tightening by super-slow steaming. Fourthly, from seasonal revival in iron ore shipments mainly from Brazil to China, which has been further supplemented by the rollout of new capacity. And fifth, increased transatlantic coal volumes as well as coal shipments from Colombia to the Far East. The further adjustment according to Howe Robinson is to accurately calculate how much further this rising rate has to run. In this respect, the Egyptian Shipping entity remains unconvinced that this rising rates will continue for much longer. They mentioned the following factors which we find rather troublesome. Certainly, there is relatively little interest in long period charters from chartering time. There can be the FFA rate that remain quite stable. In June for example, short-term time charter rates grows by nearly 300%, while the third quarter and fourth quarter for PC rates remain below spot level. Thirdly, the larger number of fixtures from Western Australia to deal out the new financial year start. As July is usually the bump that mining companies close for mining equipment mixing, chartering activity should ease back from these force. And fourthly, the credit problems in (inaudible) surfaces in China, the question becomes how much more restocking will actually take place? In this respect, we need to note the Central Bank of China has been quick to stress that liquidity remains reasonable. However, we also add that materials of easy access to cheap credit is now old. Let’s turn to steel production. According to Commodore Research, U.S. steel mills produced a record 136.3 million tons of crude steel in May, which is 4.2 million tons or 3% more than what’s produced in April; and 5.6 million tons or 4% more than what’s produced in May 2012. The results of the large amount of steel produced worldwide is a practice that remained at least until recently under pressed. The latest report is practiced around $535 per ton. According to Commodore Research steel prices in China have finally started increasing, but remain about 13% lower than where they stood a year ago. These stockpiles are also finally beginning to come down. However, they still remain about 9% higher than a year ago. Looking at iron ore now, worldwide iron ore imports are projected to increase on basis of 10 this year to 1.175 trillion metric tons. In April, the imports of iron ore, in fact, were up 15% year-on-year, driven by increased steel output and higher availability of iron ore supply from Australia. For this year, iron ore imports are estimated to reach 779 million tons, up 8% compared to 2012. According Morgan Stanley Research, modest capacity expense and the new mining regulations in Brazil were the feedstock for metal as go from 2% to 4%, could hurt long-term growth of the long haul Brazilian iron ore supply. According to Commodore Research, after increasing for nine out of the last ten consecutives weeks. China’s iron ore core profile stood at 73 million tons, which is a relatively high level, which we have not seen since January this year. Now to coking coal, according Clarkson’s total seaborne trade in coking coal should grow by about 4% to 245 million metrics tons during 2013. Additionally, according to Clarkson’s, this has been reported that some mining companies have continued to produce high volumes of coking coal partly because they have long-term take or pay contract with infrastructure providers, which means that it has been more expensive for them to cut output than to continue producing at lower price. Steam coal now, according to Clarkson’s total seaborne trade of steam coal this year will increase by 5% compared to last year in which 858 million metric tons. Chinese coal imports rose in April by 15% from the same month a year ago. Company total seaborne imports of steam coal and lignite has grown rapidly in the last few years. Total volumes came to just under 200 million metric tons in 2012, which was up from a mere 17 million metric tons in 2008. In this respect the Chinese government announced that it tends to introduce a ban on imports of low quality coal and lignite. After stronger positions from large domestic power producers it appears that the ban will primarily have effect only on lignite imports. According to (Inaudible) Australia thermal coal exports will increase to 189 million metric tons in 2013, which is 223 million in 2014 and 223 million metric tons in 2015. Most of the acre demand for this coal is expected to come from China and India. Similar increases in volumes are expected for coking coal exports. Let’s turn to grain now. The United States Department of Agriculture has revealed its latest forecast for 2013, 2014 global grain trade. We predict that 316.9 million tons of grain will be exported worldwide during 2013 and 2014, which is 800,000 tons more than predicted in May. If this increase materializes it will mean that the grain trade will increase by 8% grain season, compared to the previous one. At the end of May 2013, the price of delivery in the following week in China was 126 ton lower than the price of domestically produced wheat. Naturally, if this trend continues shipping will benefit from this increased trade. The USDA is forecasting that China alone will import about 69 million tons of soybean during the current grain trading year, which will be a record number (inaudible). This appears to be a constantly rising trend. Having looked at demand, turn to the supply side. Demolition first of all, according to Clarkson so far this year approximately 13.8 million dead weight tons of bulk carriers have been sold for scrap, which is down 23%, compared to the same period last year. More worrying is the fact that there are only 5.3 million ton dead weight of Cape have been scraped and the mere 3.2 million dead weight tons of Panamax. The latter figure is down 32% compared to the same period last year. On an overall basis, the bulk carrier tonnage scraped this year 16% down from the same period in 2012. Let’s look at the age composition, we’re trying to make a forecast from scraping. We need to take into account the fact that according to [cash broker] only 8% The Panamax fleet is over 20 years old. Similarly, a, need to take a note of fact that only 6% of the Cape freight fleet rating today is over 20 years old. Therefore as we have mentioned before the aged profile of the large bulk carrier fleet will strongly influence owner’s decision to scrap or lay at vessel. We should therefore be careful when reading forecast of vessels to be sent to the scrap yard over the next few quarters. Conception now, according to some of the research approximately 155 vessels are anchored outside Major Austrian coal and Iron ore port. Approximately 50 vessels are anchored outside Major Brazilin iron ore port. From the 205 vessels congested at major Australian and Brazilian coal and iron ore port approximately a 150 of them are Capesize fleet.
 : Howe Robinson expects that depending on scraping, net bulk carrier fleet growth for this year, might be only 35 million tons dead weight. And our costs effective recurring 2012 were 66 million tons. (Inaudible) will be added to an already large fleet (inaudible) for the marginal increase in business of bulk commodity transportation. B&T market predicts that the supply of bulk carriers will increase in 2014 by 5%, net of scrapping and by only 4% in 2015. According to Clarkson Research total mechanic damage has increased 4.5% to 177.45 million tons dead weight as of June 1 and 1.4% of the existing fleet. As of (inaudible) 4 million tons dead weight or 16.6% of the existing fleet. Total bulk carrier order book stands at 124.3 million net return, representing about 17.8% of the existing fleet. According to Commodore Research, it has recently reported that the Chinese government is seriously considering implementing a policy that will provide Chinese companies with 20% subsidy to gain new vessels in Chinese yard, so not as stable, there is also scrap vessels aged just a year old for older. After development, we would be welcoming around world and the removal with the amount for both the ships in fact the ship market recovery. We have to wait and see the policy must be realized. Contracting now new building, according to Clarkson the three months EBITDA in contracting for bulk carriers has moved up 43%, to 234. It is not a really encouraging sign as we got future fleet growth. On the other hand, B&B forecasting ordering a loan only 25 million tons this year and next. If it is at this estimate is far too conservative as we have already seen contracting of about 20 million tons dead weight. Furthermore, Clarkson’s report that state owned yard in China have already secured all this for more comments in the year-to-date prevent in the hole of 2012. Keeping all the above in mind, let’s turn to the outlook now, (inaudible) the outlook for the great markets provided by (inaudible) shipping entity, according to (inaudible) newbuilding deliveries remain daunting, looking out in 2014, predict the demolition will exceed new buildings delivered and (inaudible) shrinking slightly, however, it predicts that these might take another year for this trend to make much of an impression to the current macro piece side. (inaudible) predict, there should be no significant change in the freight market probably a year, however, the autonomous market (inaudible) in demand and arrive (inaudible). This would be environment in which we had shipping tax continue the amount of the company to invest in strategy which we have presented and explain several times in last conference calls and presentation. The piece will grow would be acquisition of modern high quality (inaudible) pinpoint where we are in the shipping society. We will not adjust (inaudible) so, we continued financing these acquisitions with debt and equity from the company’s tax reserves. Meanwhile, you would be waiting for the upfront to come at which point all the damage may be disposed off and replaced with medium to long-term lucrative this quality will enable the company to consider reinstating the dividend which was suspended over three years ago. I would now pass the call to our CFO, Andreas Michalopoulos who will provide you through the financial highlights for the second quarter and first half of this year. Andreas?
Andreas Michalopoulos: Thank you and good morning. I’m pleased to be discussing today with you Diana’s operational results for the second quarter and six months ended June 30, 2013. Well the second quarter 2013 net loss amounted to $5.2 million and the loss per share of $0.06. Time charter revenues decreased to $40 million, compared to $57.6 million in 2012. The decrease was attributable to increased average Time Charter rate that we achieved through our vessels during the quarter compared to the same quarter of 2012. This decrease was partially offset by revenues derived from the vessels Philadelphia and Melia, delivered in May 2012; Amphitrite, delivered in August 2012; Polymnia, delivered in November 2012; Myrto, delivered in January 2013; and Maia, delivered in February 2013. Ownership days were 2,930 for the second quarter 2013 compared to 2,472 in the same period of 2012. Fleet utilization was 99.2% compares with 99.6% in the same quarter 2012 and the daily time charter equivalent rate was $12,939 compared to $22,256 in the same quarter of 2012. Mortgage expenses were $2.1 million for the quarter. Cash and operating expenses amounted to $19.6 million compared to $15.4 million in 2012, an increase by 27%. The increase was attributable to the 19% increase in order to date, resulting from (inaudible) fleet, the increase was also due to increased crew cost, insurance, taxes and other operating expenses and was partially offset by decreased stores and spares and repairs and maintenance costs. Daily operating expenses was $6,679 for the second quarter 2013 compared to $6,218 in 2012 representing an increase of 7%. Depreciation and amortization of deferred charges amounted to $15.9 million. General and administrative expenses decreased to $5.5 million compared to $6.6 million in 2012. The decrease was mainly attributable to decreased expenses for bonuses, compensation under restricted stock rewards and company promotion. Interest and finance costs were $2 million for the quarter compared to $1.9 million in 2012. This increase was attributable to increased average debt in this quarter of 2013 compared to the same quarter of 2012 and increased average interest rates from (inaudible) which marked this quarter to 1.7% to 2%, in this year’s quarter. Loss from the investment in Diana container shipping amounted $2.6 million for the quarter compared to a gain of $0.4 million in the same quarter of 2012. For the six months ended June 30, 2013, net loss for Diana Shipping Inc. amounted to $8.4 million and the loss per share was $0.10. This includes a $3.9 million loss or $0.05 loss per share from Diana container shipping… Diana Containerships Inc.
 : Other revenues amounted to $0.4 million and derived from the management agreements through Diana Containerships Inc. terminated March 1, 2013. Voyage expenses were $4.3 million in 2013. Vessel operating expenses amounted to $37.5 million compared to $30 million for the same period in 2012, an increase by 25%. The increase was attributable to the 20% increase in ownership days resulting from the investments. Increase was also incurred and through costs and including risk factors and other operating expenses, and was partly affected by decreased, stores and spares and repair and maintenance costs. Daily operating expenses were $6542 for the six months ended June 30, 2013 compared to $6275 for the same period of 2012, representing an increase of 4%. Depreciation and amortization of deferred charges amounted to $51.5 million in 2013. General and administrative expenses amounted to $10.9 million compared to $12.7 million in 2012. The decrease was attributable to the decrease in bonuses, compensation cost and restricted stock awards and company promotion. In shipping finance costs increased to $4.1 million compared to $3.4 million in 2012. This increase was attributable to increased average interest rate and increased average debt during the first half of 2013 compared to the same period of 2012. Loss from investment in Diana Containerships Inc. amounted to $3.9 million, of which $3.3 million incurred from the non-cash impairment charge in the previous quarter. This compares to a gain of $0.7 million for the same period of 2012. This concludes the financial overview. Thank you for your attention. We would be pleased to respond to your questions now, and I will turn the call to the operator who will instruct you as to the procedure for asking questions. Thank you.
Operator: Thank you. We will now be conducting a question-and-answer session. (Operator Instructions) Our first question comes from the line of Michael Webber with Wells Fargo. Please proceed with your question.
Michael Webber – Wells Fargo Securities, LLC: Hey. Good morning, guys. How are you?
Simeon P. Palios: Hi, Mike.
Michael Webber – Wells Fargo Securities, LLC: I just want to start with a question around asset values and safety. You always give us a good kind of fair overview of where the market and you mentioned the value is inching up a little bit in case we built prices that is actually little north of $48 million, but not really supported by a move in longer term rates, probably more as new build speculation and kind of favor around some private equity investment space. When you think about that that we are seeing pricing move up a bit, it’s not necessarily supported by movement in long-term cash flow, but does that augment the way you guys think about your purchasing patterns at all this year is the fact that your values are moving a touch higher without really being supported by cash fundamentals?
Ioannis G. Zafirakis: I believe I’ve said that, hi, this is Ioannis, Director speaking.
Michael Webber – Wells Fargo Securities, LLC: Hey, hi.
Ioannis G. Zafirakis: Mike, I would have said in the past, we are not influenced at all from the short term events that they are influencing the market. If we prospecting the position that (inaudible) a little bit expensive by $1 million or fixed by $1 million, and we start introducing our way of thinking in the processing, then we don’t have these staggering of buying divestitures. What we said is very clear. We take the agnostic view as regard to what’s going to happen in the near to medium term future, and therefore we will be buying event delivery let’s a month or so without looking of the price as if it is a $1 million, $2 million more expensive, it should update.
Michael Webber – Wells Fargo Securities, LLC: Right now, I am not saying it’s kind of scrapping the model, I am talking about maybe kind of picking up or slowing down the speed at which you guys are acquiring, and that has varied in the last couple of years, and just curious whether that you could….
Simeon P. Palios: If you look at the practices that we have done, the pace should keep being the same.
Michael Webber – Wells Fargo Securities, LLC: Okay, nice. Again kind of running through your spectral overview as you currently seeing that you guys are still free fall on the cost events which makes some sense, you went through the supplier reviews for both Cape and Panamax’s and talk about the ages of the fleets in fact relatively gone with pretty significant order books. You guys have never really done anything on the smaller asset classes. Is that something you could consider in the future, and if not why this outside of the fact that this is not something you have done before.
Simeon P. Palios: It might be a little bit tougher.
Anastasios C. Margaronis: It’s looking matter of familiarity, here we have set a principle from day one when we first went public in 2005, and we will stick to that policy and we will be buying the ships which we have been buying all along up to now. So just to make it more clear regarding our principle of how we buy, from day one, we said that we have to eliminate that unknown, which is when the market will go up and when the market will come down. And this unknown has very successfully being eliminated from day one as of the day we went public.
Simeon P. Palios: In the last conference call, was a very correct me suffice as I said, that we like the bigger price of vessels above Panamax including, there are plenty of technical characteristics that we like. We like the fact that you do business with net capital measures of the bigger relativities and also we like the volatility of that type of vessel. So it is not a matter of knowing how to operate smaller vessels, our model works at an optimal level with the bigger size of the vessel.
Michael Webber – Wells Fargo Securities, LLC: Okay. Now, that makes sense. Just one more from me and I’ll turn it over. And this is actually for Simeon. When you went through the three and the six month results, you talked about OpEx and it looks like it didn’t 4% to 5% quarter-over-quarter. Can you get a little bit more specific as to what drove that out from 54 relative to 60 of and 100 and then maybe where should we do you think going forward?
Simeon P. Palios: We had an extra insurance, machinery insurance, that we paid during the quarter, that I don’t foresee that we would pay the next one. We will be relatively more normalized level and that is one of the reasons in some extra taxes at the management company. Clearly these are the main reasons why our operating expense picks up during the quarter. I foresee the next quarter to be more in the vicinity of the average that we have for the six months that is in the $6,500.
Michael Webber – Wells Fargo Securities, LLC: Great. That’s very helpful. All right guys. Thank you for the time.
Simeon P. Palios: Thank you.
Operator: Thank you. Our next question comes from the line of Greg Lewis with Credit Suisse. Please proceed with your question.
Gregory R. Lewis – Credit Suisse: Thanks and good afternoon, gentlemen.
Simeon P. Palios: Hi
Gregory R. Lewis – Credit Suisse: Stacey, could you tell us a little bit more about the coal trade in terms of what’s going on in Asia, and India and how we should be thinking about that over the next couple of years in terms let’s say a positive impact on the overall market?
Unidentified Company Representative: Yeah, essentially what we are looking at now in the increased importation of primarily steam coal in China, which was in the past an insignificant number. So that is one thing we’re focusing on. The other is that we are seeing now increased quantity is coming out of Australia both from new mines and new coal imports that the logistics import has been improving. Improving therefore the quantities, let them reach those for from already existing mine. And we are also seeing now coal being shift from places like Columbia which we had not been witnessing before and other producers, which are further away from most developing nations primarily in the far east. So, all in all we have coal underpinning here demand for bulk carriers especially Panamax. And the only thing that volatility this is what is happening in India, which unfortunately is not really encouraging, as we got growth there. And also we’re working carefully development in Indonesia, because we have as you know two decks from there and we’re getting various mixed signals there with regards to what’s the exports are going to be doing over the next few quarters. So in balance we are positive on coal transportation both metallurgical and thin coal. But it’s something that we need in order to absorb the enormous number of Panamaxes which are going to be active to an already very down operating fleet.
Gregory R. Lewis – Credit Suisse: Okay, great. And then just one follow-up from me, it’s more just on the Cape side sector in general. I mean, at this point I guess you have three new (inaudible) in the fleet on the water. Should we think about what types of premiums in general should we be thinking about for larger vessels earning over sort of a modern Cape if we were to look at sort of benchmark Cape rates. And then thinking about not that Diana has any VLOCs hurdling, but in terms of thinking about what a premium is on a VLOC, I guess the first question is there a premium on the VLOC. And then secondly, as we move down to sort of the Newcastlemax’s, should we just think about what we are trying to model out the types of premiums. Is it really just the function of the increased capacity is, is that probably the way or right way to think about it?
Unidentified Company Representative: Well, there is a premium, but not so much actual premium is in that indirect premium. The relations we better charter where you are attracting as Ian just said before. And this is a additional, which already sees there is of course some saving by having a bigger vessel and more streamlined vessel in the water today by increasing the beam of the vessel from 45 to 50. I think you have a saving there, but less is marginal. What is important is we pay for (inaudible) who are in provision for that ship and that’s very important for us.
Unidentified Company Representative: We have the stance that depending on where you are on the cycle, the premium differs, the higher the charter is higher the market is. The premium is going to be higher at percentage wise because of the economics of scale as regard to the amount of travel that you are carrying. The lower the market the less the premium is.
Gregory R. Lewis – Credit Suisse: Okay, perfect guys. Thank you very much.
Unidentified Company Representative: Well, thank you.
Operator: Thank you. Our next question comes from the line of Justin Yagerman with Deutsche Bank. Please proceed with your questions.
Joshua Katzeff – Deutsche Bank Equity Research: Hi, good afternoon. This is Josh Katzeff on for Justin.
Unidentified Company Representative: Hi, Katzeff.
Joshua Katzeff – Deutsche Bank Equity Research: I just want to start off with – I guess some of the recent loans you guys have taken on in your balance sheet. Do you guys have I guess almost $400 million of cash at the end of the quarter? And on the last call you guys stated that you may not ever kind of burn through that whole cash amount acquiring shifts that I guess my questions is why that continues to increase the leverage and pay the interest expense and maybe let’s say that why not just acquired shifts without any kind of debt attached. And then if the market is improving and you want to acquire more shifts why not then just speak to lever those shifts later in the cycle?
Unidentified Company Representative: Because our investment strategies were about two years and nobody knows when the market will turn. And therefore we increased the same way we increased – we buy vessels and we put on the vessel around 50% leverage, which is part of the strategy. And we are hoping because that nobody knows. That at the end of the investment strategy when we will have an over leverage for the company of about 50% or even 50%. The market will show clear signs of recovery and we will be able to go into the next phase of our strategy, which we have explained in the past. If we don’t manage to do that i.e. if the market were to turn tomorrow morning and we were left with big amount of cash on the balance sheet as we have today, we would have to take a decision as to what to do with that cash, that’s correct. At the moment, the strategy to gradually increase the leverage together with a substitute we do and to mortgage directly with higher income.
Unidentified Company Representative: I also understand that lending complete with these type of cards is not the same thing who have the ability to lend to borrow, to lend money from someone, it’s not the same thing that having passing the bank. What you are suggesting is to place the company in a position where you have the ability to borrow, but we don’t know whether that borrowing is going to be there available at that time. So a good thing to leave $100 million from the side rather than having $200 million borrowing capacity at the period where you don’t know whether you can do that or not?
Joshua Katzeff – Deutsche Bank Equity Research: I get that argument, but as the markets improving there necessarily, the lending environment should be improving and if the markets kind of rigor and then we should have lower breakeven on your acquired ships or I guess you wouldn’t have any amortization payments or interest expense on those ships?
Unidentified Company Representative: That’s one – see provided that the market is going to bend sooner than later. Imagine an extreme scenario where we have a prolonged allowing the market where you start worrying about your cost reserves.
Joshua Katzeff – Deutsche Bank Equity Research: That’s right. I guess maybe switching topics to the time charter market you mentioned just continued lack of long-term charters available, are you seeing charters being folded for over two years in a Capesize market. And if so kind of what rates are you seeing there? I mean are there any being down or is it just kind of modest actually amounts…
Unidentified Company Representative: There are some long period enquires even for 10 years, but I think that it is to being that is wrong to go for 10 years, it’s better to go and good delays exactly those are vessel rather than a financial exercise in a bank. So, it would be fair not to entertain the 10 year periods or the longer periods of that sort of magnitude.
Joshua Katzeff – Deutsche Bank Equity Research: Got it. And just one more before I turn it over, have you seen any kind of change in the actual second hand SMP market given the reasons I guess increase in interest for new building?
Unidentified Company Representative: Well, if you ask me two months ago, what is the appetite for the perspective buyers for the second hand terms, I would say that it was huge. Today its little bit less, for example for a vessel, two months ago, you have to compete with another 20 perspective buyers today for the same type of ship. We are not going to find more than for our buyers indirectly. That of course has not filtered out on the prices the ship yet, but it will. So we think that we before since having better we are going to see a slight reduction in prices.
Joshua Katzeff – Deutsche Bank Equity Research: I got it. I appreciate the color. Thank you for the time.
Unidentified Company Representative: Welcome.
Unidentified Company Representative: Thank you.
Operator: Thank you. Our next question comes from the line of Fotis Giannakoulis from Morgan Stanley. Please proceed with your questions.
Fotis Giannakoulis – Morgan Stanley: Yes, hello and thank you.
Simeon P. Palios: Thank you, Fotis.
Fotis Giannakoulis – Morgan Stanley: Mr. Palios, a few times in the past you talked about the reason for the downturn in the market and the potential of being a new wave of layout in the dry bulk market. How big is this risk today compared to the past? Have you become a little bit more optimistic on that respective that was for the dry bulk market might be over?
Simeon P. Palios: Well, I think you understand that very market is down. The charter is equivalent to the running expenses for the ship, up to now we have not seen that situation shaping up. So, up to now, the rates which are quoted in the chartering market are more bridged to the running expenses. So of course if you have both resulted very expensively you are loosing money, but if you buy lesser today you are not loosing money, therefore the forces which are bringing the balance equilibrium is not there. And I strongly believe that we are going to go through that before we see better times. Take for example in 1958 what has happened. In 1974 of course that happened in 1985 (inaudible) resulted in layer up. Since then, we’re having (inaudible) layer. So, I think it’s time for lay up to take place.
Fotis Giannakoulis – Morgan Stanley: So, I guess that for an investment perspective seeing rates moving back to levels of operating expenses might be a signal that the market is bottoming out. Is that correct?
Simeon P. Palios: Yes, that is when the market is down.
Fotis Giannakoulis – Morgan Stanley: My second question, it has to do a little bit with the Panamax’s versus Capesize vessel, Mr. Margaronis has mentioned earlier that there is only 6% of the Capesize fleet above 20 years old, I mean which means of scraping might be limited going-forward for this asset plus. However, we have seen the interest for new building orders mainly focused on Capesize vessel. Why is that and do you seen that at this point as at all this new building orders, Panamax is might be slightly more attractive compared to Capesize vessels.
Simeon P. Palios: I think the prices shaping out, directly proportionally to quote all those forces are shaping up. I think that the market has a way of developing and setting the prices of the vessel or for the vessels depending whether they are like Cape or Panamax’s. I am assuming that the price what we gave is the price that it has been paid the lessen or price of the Panamax is similarly the same. Work has been done previously in the last 10 days or 15 days so on those criteria, it has been taken in when the price of the vessel is good.
Fotis Giannakoulis – Morgan Stanley: My last question has to do with the states of the shipbuilding market and also the financing market, what are the terms that shipyards are offering right now in terms of upfront payment and final payment and also what is the state of the financing market there relatively compared to the previous quarter. Have you seen banks are more willing to provide that to the ship owners?
Unidentified Company Representative: I think the deposit which you have to place, it’s not different and it has been so simply viewed in the last quarter. On renewal front, here is (inaudible) new buildings and that was about three months ago and that it is today. Obviously today, you’ll have on the balance sheet as a buyer and that is certainly the case and that you do not have the same number of years today actively building ships. You have about half of what you had in the peak of the market during 2008.
Fotis Giannakoulis – Morgan Stanley: Thank you very much for your time and your answers.
Simeon P. Palios: Thank you, Fotis. 
Operator:
 :
Nish Mani – JPMorgan Securities LLC: Hey, hello, guys, this is actually Nish Mani on for Chris. Thank you so much for the comments so far. I just had a couple of quick follow up questions. In regards to growth opportunities going forward here, you guys have a mix of both second hand assets you picked up recently, as well as for newbuild delivery between year end, now they are going out of 2015 and 2016. How do we think about the mix between these two kinds of assets, because there is obviously an implication of, toward second hand assets, there is a near-term boost or near-term rate exposure whereas the newbuilds you are kind of putting off in the exposure down the road and kind of want to get their thoughts on where you see kind of the emphasis on growth being put?
Ioannis G. Zafirakis: This is Ioannis again. We have fitted the process the reasons why we like taking time on the one hand and newbuild into the other. Our decision on whether to buy a second contract or a newbuilding depends on the availability on the traction that we have at that time as a result to what these available for sales mainly. So we cannot say that we have a specific policy or strategy in our mind as a regard to the proportion of the ratio between one and the other.
Nish Mani – JPMorgan Securities LLC: Okay. And so that means you are saying that basically it’s a limitation on quality second hand assets that drives disposition?
Ioannis G. Zafirakis: There is the time for us to buy something, and we cannot buy in the second hand that is equally attractive to a newbuilding at that time, who will go over the newbuilding. And then, probably the next one is going to be a second hand, but there is not, this is not the rate in stone.
Nish Mani – JPMorgan Securities LLC: Okay, got it. And then just tell me about the loan you guys made to DCIX over the quarter. Just want to confirm that that in fact, had closed and want to see if this kind of opens the door in the future financial agreements between DCIX and DSX and if there is something to be kind of said there?
Simeon P. Palios: Nothing to be said, it has been closed as a loan not grown down, otherwise you would have seen it in the financial statement. And there is no future plans for additional loan to be made.
Nish Mani – JPMorgan Securities LLC: Okay. Did you say the loan has not been grown down? 
Simeon P. Palios: No it has not been grown down. It has closed the loan, but Diana continues to think has not grown down as yet it has appeared a six months to drill it down.
Nish Mani – JPMorgan Securities LLC: Okay, great. That’s it from me. Thank you so much for the help.
Simeon P. Palios: Thank you.
Ioannis G. Zafirakis: Thanks, Nish.
Operator: Thank you. Our next question comes from the line of Brandon Oglenski with Barclays. Please proceed with your question.
Keith Mori – Barclays Capital: Hi, good morning. This is Keith Mori on for Brandon.
Simeon P. Palios: Hi, Keith.
Ioannis G. Zafirakis: Hi.
Keith Mori – Barclays Capital: Hi. I would like to go back to a comment this time you made regarding that you think that now is the time that layout should be occurring. What would the timeframe be, would you expect that to go on for may be a year or two? And could you speak about some of the opportunities that you feel Diana could generate during that timeframe to kind of drive long-term value for shareholders here?
Simeon P. Palios: There is no easy way to actually predict the periods of layout it never has been and never we be, ships the remaining layout suddenly something happened and we are reactivated whether it’s seasonal or more permanent. On the seasonality, we have seen the containerships being reactivated since the beginning of the year and nearly half the ships that were in lay-up where reactivated while we have similar seasonality in the Panamax trade. We’re going through, it’s now more or less with even growing to the close. So if there were a lot of Panamax ships, we have expected ships to have been reactivated around March this year and then trade still summer maybe all fall and then we lay it up again if there are no opportunities within to trade. Now, what we’re going to do in that environment, of course, all depends on lot of opportunities we present themselves that ship is in lay-up, it doesn’t mean that ships were paid necessarily. So we will be looking at ships, which are trading and in lay-up preferably trading, because those ships are usually at the conviction and then doing up fewer surprises then lays-up on it, which shows up various particulars, when the ship is being reactivated. So it don’t affect our investment decision in any big way, for the ships that lays-up most of course, overall values to be expected to weaken if there is a certain percentage of the fleets lays-up as opposed to not being laid up in premiums. When I was referring to the lay-up what I meant is that here you have supply and demand, so the whole thing is driven by supply and demand. And so basically you have the different equilibrium whereby the difference of once to make it a goal or (inaudible). So the force which is existed on this equilibrium is bigger than you have laid that pleasures, because then the appetite for building new ships are to invest in shipping has gone. And then you have a quicker return to normality then if you are dragging the way we are dragging at the moment, and there is some cash generated at the loan market, of course, but there is still some cash generators that’s what I meant.
Keith Mori – Barclays Capital: Thank you gentlemen for the color. I guess one last question maybe say, your thoughts, it seems like the supply fixture is going the way we thought a few months ago. And maybe people were thinking that the recovery in dry bulk could be later 2014, early 2015. However, it seems that demand in Asia maybe has some sloping here. What’s your thoughts on maybe demand not meeting those growth rate that people are anticipated earlier in kind of driving this low further out and to may be the back half of 2015 or even beyond?
Simeon P. Palios: We don’t want to pinpoint when the recovery will take place. And indeed this is how basically from day one 2005 that we wanted to eliminate that’s our note is an unknown that nobody would like to have a guess, because you will be wrong, if it is correct, it’s a coincidence. So let’s not try and pinpoint when it will take place. But what I can tell you is a year ago from today, we were one year away from the recovery. Now, we are one year closer, that is also, it will happen, but nobody knows when.
Keith Mori – Barclays Capital: Okay, gentlemen. It’s a no on call off here move on. Thank you.
Simeon P. Palios: You’re welcome.
Operator: Thank you. Our next question comes from the line of Kevin Sterling with BB&T Capital Markets. Please proceed with your question.
Kevin Sterling – BB&T Capital Markets: Thank you. Good afternoon.
Simeon P. Palios: Hi, Kevin.
Kevin Sterling – BB&T Capital Markets: Most of the questions have been answered. Andreas, I can’t remember if you touched on it. How should be think about vessel operating expenses in the back half of this year?
Andreas Michalopoulos: In the OpEx you mean, the vessel operating expenses?
Kevin Sterling – BB&T Capital Markets: Yes.
Andreas Michalopoulos: Yeah, we said that it was a big high and that – it’s going to be normalized in the next quarter, we see that’s around 6,500 per day of vessel.
Kevin Sterling – BB&T Capital Markets: Okay, thank you. And just kind of one general industry question here. Are you guys seeing as you look in the second hand market rationale buyers or you think guys are, people coming in and getting up prices for the second hand time, of do you think the markets pretty rationale right now?
Andreas Michalopoulos: This is Andreas Michalopoulos speaking. Probably you are requiring to been consistency between the charter rates and being increasing the cost of the second hand trade. This alone will indicate having in our industry, you have some, you are asking about interest of time. But in the medium to long-term market prevails someone should not be distracted or influenced this time by what you see only in the numbers. If you look also whether this is a result of the psychology together with the (inaudible), what we truly believe is that looking at the fundamentals it shows to you the real trend and psychology is something that plays an important role, but only for the short-term. So basically, you are correct in implying that the values today are at the level that nobody can really justify as regard to the fundamental looking only at the fundamentals. And this is why we said many times during this call that we expect the market to deteriorate chartering wise and as regard to the values of the vessels. That gives me the opportunity to mention here that we are not pessimists by nature. You are going hear from us from, the moment we see the fundamentals changing you are going to hear it from us. That is the signs of an investor comments, the rumor in the market that we are always pessimistic about the future, this is not correct, but we are afraid that it cannot justify a thesis today that the market is going to improve in 2014. We cannot say that and we don’t have the signs for that. At the end of 2013, we can discuss that again, but we do not see anything really positive as regard to 2014 in order to see the market turning bigger.
Unidentified Company Representative: Okay. That’s absolutely correct. We would have a different view as we saw demand exceeding expectations, but definitely we will see the demand is going the other way and (inaudible), it comes weaker, substantially weaker the rate of growth and demand than we are seeing now. Then we have to look again at the supply-demand balance and unfortunately the results of revisiting this balance are going to be rather unpleasant. But we hope we won’t have to do that.
Kevin Sterling – BB&T Capital Markets: Got you. Ioannis, thank you very much. It’s very helpful. That’s all I have, I appreciate your time.
Ioannis G. Zafirakis: You’re welcome. Thank you.
Operator: There are no further questions at this time. I’d like to turn the floor back over to management for closing comments.
Simeon P. Palios: Thank you again for your interest and support for Diana Shipping. We look forward to speak with you in the months ahead. Thank you.